Operator: Ladies and gentlemen, thank you for standing by. Welcome to Elbit Systems' First Quarter 2024 Results Conference Call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. I would now like to hand over the call to David Ravia, Elbit Systems' Investor Relations Director. David, please go ahead.
David Ravia: Thank you, operator. Good day, everyone, and welcome to our first quarter 2024 earnings call. On the call with me today are Butzi Machlis, our President and CEO; and Kobi Kagan, our CFO. Before we begin, I would like to point out that the safe harbor statement in the company's press release issued earlier today also refers to the contents of this conference call. As we do every quarter, we will provide you with both our regular GAAP financial data as well as certain supplemental non-GAAP information. We believe that this non-GAAP information provides additional detail to help understand the performance of the ongoing businesses. You can find all of the detailed GAAP financial data as well as the non-GAAP information and the reconciliation in today's press release. Kobi will begin by providing a discussion of the financial results, followed by Butzi, who will talk about some of the significant events during the quarter and beyond. We will then turn the call over to the question-and-answer session. With that, I would like now to turn the call over to Kobi. Kobi, please.
Kobi Kagan: Thank you, David. Hello, everyone, and thank you for joining us today. The financial results of the first quarter of 2024 reflect the significant increase in demand and opportunities the company has. This demand supported the growth of our order backlog to more than $20 billion. As we mentioned in our previous quarter investment conference, we can see the continuous improvement in our profitability. I will now highlight and discuss some of the key figures and trends in our financial results. First quarter revenues were $1.554 billion compared to $1.394 billion in the first quarter of 2023. Our diverse geographic revenue base is important to the long-term sustainability of our business. In the first quarter of 2024, Europe contributed 25%, North America, 21%; Asia Pacific, 20%; and Israel contributed 29% of revenues. Growth in Israeli revenues reflects the increased demand for a broad range of our solutions following the breakout of the Swords of Iron War. The non-GAAP gross margin for the first quarter was 24.7% compared to 26.5% in the first quarter of 2023. GAAP gross margin in the first quarter was 24.1% of revenues compared to 25.9% in the first quarter of 2023. The first quarter non-GAAP operating income was $121.6 million or 7.8% of revenues compared with $108.5 million or 7.8% of revenues in the first quarter of last year. GAAP operating income for the first quarter was $105.4 million or 6.8% of revenues versus $93.9 million or 6.7% of revenues in the first quarter of 2023. The operating expense breakdown in the first quarter was as follows: Net R&D expenses were $98.5 million or 6.3% of revenues compared to $110.3 million or 7.9% of revenues in the first quarter of 2023. Marketing and selling expenses were $89.1 million or 5.7% of revenues versus $80.2 million or 5.8% in the first quarter of 2023. G&A expenses were $81.2 million or 5.2% of revenues compared to $77.1 million or 5.5% of revenues in the first quarter of 2023. Financial expenses were $31.2 million in the first quarter compared to $24.2 million in the first quarter of 2023. Financial expenses in the first quarter reflect the high interest rate environment as well as required increase in net working capital. We recorded a tax expense of $11.6 million in the first quarter compared to $8.7 million in the first quarter of 2023. The effective tax rate in the first quarter of 2024 was 14.6% compared to 12.8% in the first quarter of 2023. Our non-GAAP diluted EPS was $1.81 for the first quarter of 2024 compared to $1.78 in the first quarter of 2023. GAAP diluted EPS was $1.65 for the first quarter of 2024 compared to $1.40 in the first quarter of 2023. I will now review our business segments first quarter of 2024 financial results and will note that our segmental disclosure of operational income is provided on a GAAP basis. C4I and Cyber revenues increased by 12% year-over-year, mainly due to increase in radio systems sales in Israel. ISTAR and EW revenues increased by 17% in the first quarter of 2024, mainly due to Electronic Warfare and Electro-Optic systems sales in Israel. Land revenues increased by 26% in the first quarter of 2024 mainly due to increased ammunition and munition sales in Israel. Aerospace and Elbit Systems of America revenues were similar year-over-year. Our order backlog as of March 31, 2024, was $20.4 billion, $4.5 billion higher than the backlog at the end of the first quarter of 2023, almost $2 billion of the increase is from Israel. Out of the new orders of the first quarter, $1.5 billion is from Israel. Approximately 71% of the current backlog is attributable to orders from outside of Israel. Approximately 51% of the current backlog is scheduled to be performed during 2024 and 2025, and the rest is scheduled for 2026 and beyond. Operating cash flow for the first quarter was $6.4 million outflow compared to $73 million outflow in the same quarter last year. The cash flows in the three months ended March 31, 2024, were affected mainly by the increase in inventories and trade receivables, offset by the increase in contract liabilities. The Board of Directors has declared a dividend of $0.50 per share. I will now turn the call over to Mr. Machlis, Elbit's CEO. Butzi, please go ahead.
Butzi Machlis: Thank you, Kobi. I would like to begin by thanking our Elbit employees around the world for their hard work and ongoing commitment to our customers. I wish to thank our employees in Israel that have been working intensively for months and have made it possible for the company to address the IMOD’s need during the war. I also want to send my sincere condolences to the families of our employees that have lost loved ones during this conflict and send our prayers to the injured for speedy recovery. I, along with the entire company, hope for quick return of all the hostages that remain held in Gulf. I'm encouraged by our financial results in the first quarter as there has been a significant increase in our order backlog, which surpassed $20 billion and approximately 12% in revenue growth. I would like to highlight two main points of major importance to our businesses. The relevance of Elbit Systems portfolio of advanced technological solutions that have been operationally proven in light of the increase in global defense budget and the high demand by the Israeli MOD positively impact the revenues and growth of the company. Elbit Systems is continuing to implement its long-term strategy and plans while strengthening its global presence and maintaining its commitment to customers. The company is continuing to implement its transformation plan in order to enable our internal target of $7 billion revenue, which I believe will be achieved ahead of schedule and our internal target of around 10% operating margin. Throughout Swords of Iron War, we have accelerated the R&D of some of our solutions that were still in development. Some have already been deployed to the frontlines. We are also upgrading multiple systems and solutions based on lessons learned during the war. We have ramped up our production to support the IDF requirements while maintaining deliveries to our international customers. We increased production capacity at our factories by adding shifts and recruiting several hundred additional employees to support the surge in demand. The last quarter was impacted by massive recruitment, and we are still recruiting new employees, mainly for manufacturing and development projects. I would like to now focus on several successful decisions that we have made as part of our long-term strategy that can explain the financial results in the first quarter. The acquisition of IMI was a remarkable success, the synergy between the capabilities of IMI and Elbit Systems enabled us to offer an enhanced portfolio, fulfil the potential of the technological and increase our market share. There is a significant international as well as Israeli demand for the product that could not have been deployed without the acquisition of IMI. We plan to continue developing precision and munition and increasing production. The increase in demand requires us not only to operate 24/7, but to grow. As such, in 2024, we plan to begin the operations at our new ammunition production site in Ramat Beka, which will operate in parallel with the IMI facility in Ramat HaSharon. A good example of the successful integration of IMI into Elbit Systems was the announcement on May 21 of our award of a group of contract in an aggregate amount of approximately $760 million for the supply ammunition to the Israeli Ministry of Defense. The contract will be performed over a period of two years. Since the beginning of the Swords of Iron War, Elbit Systems has experienced a material increased demand for our products and solutions from the Israeli Ministry of Defense compared to the demand level prior to the war. Subject to further development, which are difficult to predict, the IMOD increased demand for the company products and solutions may continue and could generate material additional orders to the company. In addition, on March 26, we announced that we were awarded an approximately $600 million contract to supply systems to Hanwha Defense Australia for the Australian Land 400 Phase 3 Project. This project aimed to deliver advanced protection, fighting capabilities and sensor suite to the Redback Infantry Fighting Vehicle for the Australian Army. The contract will be performed over a period of five years. The decision to invest in manufacturing facilities has proven itself positively impacting our order backlog and revenues, and we hope that our target as stated in our previous investor conference would be reached even earlier than expected. In addition to the contract that we had received in Israel and in the Netherlands a few months ago, on March 5, we announced an initial contract of approximately $27 million to supply Iron Fist Active Protection Systems to GDOTS for upgrades to the U.S. Army's Bradley vehicles. The contract will be performed over a period of 24 months and has significant potential. The system provides on platforms with 360-degree protection from a wide variety of anti-armor threats such as rocket propelled grenade and up to kinetic energy tank round in both open terrain and urban environment. This system required years of investment in R&D. There is already a lot of interest in the system, and that is a good example how our advanced solutions maintain our position as a global leader and contributes to the high demand of our product internationally. On the night of April 14, Iran attacked Israel with hundreds of drones and missiles. On that historic night, Israel, along with its allies, successfully intercepted the majority of the incoming aerial threats with coordinated precision, showcasing the talent of the Israeli Air Force and the strength of our air defense systems. Our role in helping to defend against this attack was twofold. Our simulators help train the Air Force in our strategic command control centers of the Israeli's missile defense system, including Arrow aid in the interception of the Iranian air threat. Our Golden Almond and Citron Tree solutions are the heart and brain of the interception system. The synergy of the two elements led to the successful defend of Israel. And with that, I will be happy to take your questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] The first question is from Pete Skibitski of Alembic Global. Please go ahead.
Peter Skibitski: Yes. Good afternoon, everyone, and let me apologize, I'm out of the office right now and I'm on my cell phone. So hopefully, you can hear me okay. Butzi, certainly, quite incredible backlog growth the last couple of quarters. I remember only five years ago, it was about $10 billion in backlog. So this will challenge your capacity. That's for sure. But let me ask this because I'm wondering if there's yet another leg up to come because the U.S. passed a fairly substantial Israeli security supplemental, multiple billions of dollars. I'm not sure how much has flowed yet, but maybe that's what you can give us insight into. To what extent do you think Elbit has exposure to the U.S. security supplemental for Israel, a third, 50%, 75% because it is quite substantial. And over what time frame do you think you would book orders from that funding? Thank you
Butzi Machlis: Hello, Pete. Good morning. You're right, it's really a remarkable backlog, and I'm sure that we'll be able to handle it and to convert it into revenues and profit. Yes, it's true, Israel is going to get additional funds and additional package from the U.S. and Elbit is having part of it. I cannot mention exactly the percentage of the numbers, but we have part of this package. And we are working with our IMOD right now to discuss the details, and for sure, it will help us to strengthen our position here in Israel as well as well as in the U.S. Of course, this additional contract, most of them will be done in Elbit Systems of America subsidiary in our U.S. facility.
Peter Skibitski: Okay. I appreciate that. I guess last question for me then. Can you talk about workforce challenges and supply chain challenges just in terms of your ability to execute on this backlog in a time frame in which your customers want. I know you said you're working 24/7, but just talk about the challenges you face there.
Butzi Machlis: Yes. We are working 24/7, in some of the facilities, we are working in three shifts. And in order to meet the growing demand, we have invested quite a lot in inventories, and you can see it in the report. This is in order to make sure that we don't suffer from any supply chain challenges or our exposure to the supply chain challenges are limited. So we took a strategic decision to increase inventories. Of course, it cost us money. But this is one way for us to make sure that we can meet our commitments to our customers. And this is on top of that, as was mentioned, we are recruiting hundreds or even thousands of employees. And just to make sure that we have enough workforce. And there is really MOD allow us or we are working with IMOD to continue the work we do in Ramat HaSharon in parallel to the new facility in Ramat Beka, so we'll have actually two production sites in parallel that will enable us to meet the demand.
Peter Skibitski: Okay. Thank you very much. Appreciate it.
Butzi Machlis: Thank you.
Operator: The next question is from Sheila Kahyaoglu of Jefferies. Please go ahead.
Sheila Kahyaoglu: Good morning, guys and thank you for the time. Great top line momentum, and I know you don't necessarily want to kind of commit to this 12%. Should we continue to think about low double digits growth for this year, just given the sustained level of demand you're seeing out of Israel. And any color you could provide by segment on how we think about the growth trajectory.
Kobi Kagan: Thank you, Sheila and good morning. This is Kobi. As you know, we don't provide guidance, but you see the order of backlog, the increase in backlog, which is 29% year-over-year and huge growth also in the adjusting that in the specific quarter. In the end, all the backlog is going to be turned to revenues. So we can predict ongoing revenue growth also for the rest of the year.
Sheila Kahyaoglu: Okay. And maybe can you talk about how much of it is tied to artillery and ammunition. And I know you don't want to put a concrete number around margins for 2024, but curious if you could provide some high-level puts and takes on like the mix impact of that.
Kobi Kagan: Sheila, I can share two points of view. The first one, as you see in our financial results, there is an increase in our sales in Israel. The revenue in Israel increased year-over-year by $200 million from $250 million to over $450 million. And secondly, we announced just this week, as Butzi mentioned, $760 million order from a group of orders from the Ministry of Defense. So those are the details that we can provide.
Sheila Kahyaoglu: Okay. All right. I'll jump back in the queue.
Butzi Machlis: But it's very important here, it's very important to mention that the majority of our revenues is coming from the international market, and it will continue to be this way.
Kobi Kagan: And we see the $7 billion, the internal targets that we have that we saw them coming over '26, we see that coming sooner than 2026 with this increased backlog.
Operator: The next question is from Omri Efroni of Oppenheimer. Please go ahead.
Omri Efroni: Hi, guys and congrats on a great quarter. I have a couple of questions. The first, you had a huge increase in revenues from Israel. And I wondered as you got now the $760 million of additional contract of ammunition and munitions, what is the productivity gain and gross margin gains you're going to get from getting into full ramp-up and full capacity in the Ramat Beka site compared to Ramat HaSharon.
Butzi Machlis: So good afternoon. As we mentioned, we're going to work in parallel, both in Ramat HaSharon and Ramat Beka operational sites. So it's going to double our capacity, and the work there is very intensive and 24/7 and a few shifts every day. We are going to inaugurate the site in Ramat Beka later this year. So it's not going to be fully operational this year, but it's going to be fully operational next year. So we're going to enjoy, of course, a better and modern site that will be working gradually up in capacity during 2025.
Omri Efroni: And still ramp up is got to be completed in the first half of '25, is a realistic number?
Butzi Machlis: We are going to ramp up production during 2025. I think that the prediction of first half is a good one.
Omri Efroni: Okay. Got you. For the second question for me, I was hoping if you can get some color about the protection systems and against drones specifically accounting drone systems that maybe Elbit is looking to develop and a little bit more color on loitering munition as this has been proliferated in the Middle East and a lot of our enemies as usual is using loitering munitions and what opportunities are we seeing with respect to...
Butzi Machlis: It's Butzi. Are you talking about way to defeat drones?
Omri Efroni: Yeah, both at the current U.S. air systems, the [indiscernible], and additional emissions for attacking purposes.
Butzi Machlis: Okay. So let's divide the answer into two. First, we have a very successful solution or system by the name of ReDrone, which using unique EW capabilities and EO and radar package can detect the threats and can block it or jam it. This system is very successful in several countries. We announced, I think it was half a year ago or maybe even prior to that, a nice contract we own in the Netherlands for this system. I can tell you that the Dutch Forces is only one customer for the system, and we see a lot of potential for that in many countries. It can be fit small drones, quadcopters and it can detect them and defeat them as well. So this is with regards to that. We have a very attractive solution in our portfolio. And there is a big potential for that these days in many countries. With regards to loitering munition, we have a system by the name of SkyStriker, which this system was delivered to many countries as well. It's a small UAV, which can attack as well. But it's a boring market for such solution for loitering munition, and we have it in our portfolio with many contracts as well.
Omri Efroni: Okay. Great and congrats on the quarter.
Butzi Machlis: Thank you.
Kobi Kagan: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Machlis to go ahead with his closing statement, I would like to remind all participants that a replay of this call will be available in 2 hours after the conference end. In the U.S., please call 1 (888) 782-4291. In Israel, please call 03 925-5900. And internationally, please call (972) 39 25-5900. A replay of the call will also be available at the company's website at www.elbitsystems.com. Mr. Machlis, would you like to make a concluding statement?
Butzi Machlis: And I would like to thank all our employees for their continued hard work and contribution to Elbit Systems' success. To everyone on the call, thank you for joining us today and for your continued support and interest in our company. Have a good day, and goodbye.
Operator: Thank you, Mr. Machlis. This concludes Elbit Systems Limited first quarter 2024 results conference call. Thank you for your participation. You may now go ahead and disconnect.